Operator: Good day, and thank you for standing by. Welcome to the Voxtur Analytics Corp. Second Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Jordan Ross, Chief Investment Officer. Thank you. Please go ahead.
Jordan Ross: Thank you, Stephanie. Good morning, everyone, and welcome to the Voxtur Analytics second quarter 2021 earnings call. A release announcing our results was issued after market closed yesterday [technical difficulties] MD&A on sedar.com as well as our website. Joining us today are Executive Chairman, Gary Yeoman; CEO, Jim Albertelli; and CFO, Angela Little. We will start with prepared remarks and then move into the Q&A session. If we are able to take your questions, please feel free to contact me directly by email jordan@voxtur.com. Angela will begin by outlining our financial performance, and then you'll hear from Jim, who will provide an update on the business operations. Finally, [technical difficulties] priorities for the remainder of the year. The information we share today may contain [technical difficulties]. We caution you not to place undue reliance on [technical difficulties] and undertake no duty or obligation to update any forward-looking statements as the result of new information, future events, or changes in our expectations. On today's call, we will report using both IFRS and non-GAAP financial measures. We use these non-GAAP financial measures internally for financial and operational decision-making purposes and as the means to evaluate period-to-period comparisons, as we believe that they provide meaningful information with respect to the financial performance and the value of the Company. Non-GAAP financial measures are presented in addition to, and not as a substitute for financial measures calculated in accordance with IFRS. To see the reconciliation of these non-GAAP measures, please refer to our management’s discussion and analysis. Finally, please note that all references to amounts or currency during today's call are to Canadian dollars unless otherwise stated. I will now turn the call over to our CFO, Angela Little.
Angela Little: Thank you, Jordan, and thank you all for joining in the call this morning. We had a busy start to 2021 and Q2 with no different as the company continued to execute on our strategic growth initiatives, including completion of the Anow acquisition. Anow is an automated workflow management platform for the global appraisal market, servicing lenders, servicers, appraisers, and appraisal management companies. This strategic and pivotal acquisition bolstered our recurring revenue stream and accelerated the build-out of our data-ingestion engine. Additionally, the company has continued to make investments in our technology platforms as well as expand our global sales and marketing efforts. Sales pipelines gained momentum across all business units and expanded to our highest levels during Q2 2021. Not withstanding the continued challenges related to COVID-19 and the foreclosure moratorium, the company is pleased to report that our Q2 and year-to-date 2021 revenue and gross profit increased quarter-over-quarter as well as year-over-year. Q2 2021 revenue was $18 million, which represents a 25% increase over Q1 2021 and – a 301% increase over Q2 2020. Year-to-date revenue is $32 million, which represents a 238% increase over year-to-date 2020. Revenue from U.S. operations represented approximately 89% of total revenue for Q2 and year-to-date 2021, up from approximately 59% for the same time period in 2020, a result of our continued expansion into U.S. markets following the Apex and Voxtur acquisition. Turning to the balance sheet. We ended the quarter with cash and cash equivalent of $38 million. This leaves the company well positioned to continue executing on its strategic growth plans, including the acquisition of Xome and Benutech, which Gary Yeoman will be discussing in more detail. Looking ahead to Q3, we are seeing renewed momentum in the loan default space since the foreclosure moratorium was lifted in the U.S. on July 31. Title and settlement valuation, InfoEx and default services have already seen significant increases in volume during August. We expect this to continue through the second half of 2021. I will now turn the call over to CEO, Jim Albertelli, to highlight our operational and business success within the quarter.
Jim Albertelli: Thank you, Angela. Good morning, everyone. As Angela said, we've had an active start to the year and we are proud of what we've accomplished in the first half of 2021. Our efforts have bolstered an already strong foundation and positioned Voxtur for tremendous growth in the second half of the year. Before I dive into the operational and business successes over the last quarter, I want to highlight a change some of you may have already observed that is the complete rebranding of our corporate identity. As I mentioned in the past, we began our rebranding exercise by renaming the enterprise, Voxtur, which is icelandic for growth. It just seems fitting that we incorporate growth into our names as it's part of our corporate D&A. Our mission is to become the largest and most trusted provider of data, SaaS-based applications and tech-enabled services in the PropTech space. We pride ourselves on seeing things a lot differently, and this insightfulness was the inspiration behind our new logo. We believe this new brand identity better reflects our status as the most dynamic, intelligent and innovative source of property-related data and services in the real estate ecosystem. And this in turn will bring greater visibility in the marketplace, more clarity for our clients, better returns for our shareholders. We are also introducing new Voxtur verified stamp of quality assurance. This Voxtur verified provide certainty to our clients and underscores our credibility within the industry. Now I am going to use the rest of my time today to discuss the numerous successes we experienced in the second quarter, starting with the investment in our enterprise sales efforts. We leveraged our data and technology capabilities as competitive differentiators, which translated into a healthier and more robust sales pipeline. In fact, our sales pipeline has never been bigger. We recently launched a dedicated customer success team to identify quantifiable client value propositions to increase our inside sales efforts and better support our clients. This is just one example of our continued investment in our enterprise sales model. As part of this integrated approach, we will also be bringing more consistency and rigor to our sales model, our sales forecasting, our sales pipeline development and our internal training. Many of these changes reflect the evolution of our growth as we realign and move towards a software-as-a-service or SaaS-driven model focused on recurring revenue. I'll provide the updates on each of our three main business verticals, starting with valuation, which we have grown through acquisition and by leveraging our legacy expertise and master service agreements to create both organic and inorganic revenue opportunities. As an accretive acquisition Anow gave us the most innovative and best-in-class valuation management platform that is rapidly becoming the industry standard with its end-to-end encryption, detailed customizable workflow and AI-enhanced functionality, our platform delivers valuation data elegantly and in a secure environment. Furthermore, its core workflow methodology has derivative uses across the Voxtur enterprise. Post acquisition we continue to build on Anow’s prior momentum in the market, while making accelerated adoption of its cloud-based platform a top priority. We have several material strategic partnerships in the works and expect to see the financial benefits of these partnerships before the end of the year. In addition to building partnerships, we are seeing organic growth as we are currently piloting the platform with a top mortgage lender in the U.S. The feedback has been overwhelmingly positive and Anow platform is becoming an essential part of our client's workflow. As more clients move on to the platform, adjacent growth opportunities emerge, such as growing our valuation management and our data solutions businesses. Successes aside, we still want to add to our product roadmap to drive faster adoption of Anow. We are currently doing that by differentiating the value proposition between Anow and our clients’ legacy on-prem systems. This requires product innovation and version releases with greater functionality, including additional APIs and interoperability to facilitate enhanced workflows and collaboration. An example of this is our recently launched automated appraisal scoring tool that instantly identifies issues that appraisal reports and assigns an overall score and remediation methods. We are also innovating within our valuation management business by launching an evaluation product, which serves as an upgrade for traditional appraisal products. This type of forward-looking has led to expansion of the GSE clients as well as expansion into the credit union space resulting in more than $1 million in net new revenue within the quarter. This revenue growth is also – thanks to the previously mentioned expansion of our client success team, which ensures quicker client implementations and improved day-to-day communication. Turning to our property tax business. We saw significant organic growth by adding 19 new jurisdictions as clients. More specifically, we delivered US$420,000 of high margin sketch verification revenue after combining management and sales teams from our legacy, iLOOKABOUT an Apex business, Apex being acquired in 2020. As previously mentioned, one of our thesis for the acquisition of Apex Software, which was widely considered the industry standard for residential sketching software was to cross sell our preexisting desktop valuation platform and to Apex’s extensive client base. This thesis was – when it's confirmed when revenue from an existing Apex client grew from $7,000 per year to US$100,000 per year as a result of the newly combined functionality. In addition, we saw an under-invested software asset in Apex and tremendous opportunity to modernize and innovate. An example of how we harness this potential was the launch of AVX, a mobile sketch software with modern drawing capabilities that allows for dynamic building layer updates within our desktop platform. This will also bolster recurring revenue within our tax business. Finally, we upgraded our image capture platform, which translated into savings of approximately 40%. Thanks to internal operational efficiencies. Moving on to the Title and Settlement business. This quarter, our primary focus was finding operational efficiencies. This initiative identified US$400,000 in annual savings. We credit the savings to a few factors, including implementing a new technology to drive operational efficiencies, gaining economies of scale by combining our refinance and default title and escrow teams and establishing a more variable cost production model. The business is now poised for significant growth, which is already evidenced by the addition of three new material clients. Now I'll turn it over to Gary to reiterate our strategic focus for the rest of the year, and to explain how the proposed acquisition of Xome Valuations and Benutech fit into our long-term strategy. Gary?
Gary Yeoman: Thank you, Jim. I'll build on Jim's enthusiasm by expanding on the opportunities before us and the foundation we put in place in order to seize these opportunities. As Jim indicated, we are transitioning to a SaaS-based platform model. As veterans of the real estate business, we recognized our client's need for services that are more accurate, affordable and timely. This transition commenced with the acquisition of Clarocity and [Infusion] of this more than 150 master service agreements. And this combined with a Voxtur merger in February gave the company the most comprehensive client concentration in North America. This has allowed Voxtur to turn its focus to delivering superior SaaS-based platforms for its existing clients. Last year, we continue to execute on this transition strategy by acquiring Apex, the leading sketching software platform in North America, servicing approximately 2,100 of the 3,300 counties in the U.S. along with some Canadian provinces. Integrating this software with the desktop review platform for property assessment clients has enabled Voxtur to offer the first digitized mobile assessment application in North America. Additional software offerings relating to predictive assessment valuation and taxation platforms will emerge in early 2022, servicing the business-to-business, business to consumer and business to government sectors. In the valuation sector, our Voxtur valuation appraisal management business and our recently announced Xome Valuations acquisitions makes ours one of the largest valuation platforms in the industry. Recognizing the need to provide lenders with quicker, more accurate and affordable valuations, we announced in April the acquisition of Anow, the only fully digitized AI-enabled platform in North America. This platform allows lenders to move from an industry standard archaic PDF-enabled offering to a fully digitized platform with 3x the speed and efficiency at a fraction of the cost. In the coming weeks and months, the veracity of this offering will become more evident.  As previously announced, the proposed acquisition of Benutech will significantly augment our database, improve and expand our AI-enabled offerings and will allow our property tax platforms to come to fruition in the United States. We will also increase our recurring revenue into a subscription-based pricing model. Voxtur’s title and settlement business is also growing. Infusing our title ingestion engine with our expensive title offerings, including default will separate Voxtur from the competition. Incorporating our unique title alternative will distinguish us from other title providers and continue to augment our technology platform. All of these enhancements are substantively accretive and will improve our gross profit margins measurably. What we are doing here at Voxtur is achieving real alignment where strategy, goal and meaningful purpose will reinforce one another. With the exceptional leadership provided by proven professional Jim Albertelli and his exceptional team, Voxtur is well-served to lead the way in real estate technology for valuation tax and title. With that, I'll ask Jim to moderate any questions you may have for us. Thank you for listening in today. Jim?
Jim Albertelli: Thank you, Gary.
Operator: [Operator Instructions] Your first question comes from the line of Christian Sgro with Eight Capital.
Christian Sgro: Hi. Good morning. Congrats on the strong quarter, and thanks for the update this morning. Plenty of good detail. The first question I'd ask is related to the June quarter. And you provided an updated cost settlement, valuation and tax. It feels like everything is trending in the right way. So maybe if you guys are able to quantify which of those three areas might have outperformed in Q2, and it's good to hear default is sort of coming back as the moratorium less. What are some trends you are seeing across the three segments into the back half of the year here?
Jim Albertelli: Gary, it sounds like he was dedicating that one to you.
Gary Yeoman: Oh, to me. Okay. Well, I mean, Jim, I’d actually like you to talk on the operations side of the trends and then I'll hop in after.
Jim Albertelli: Yes. Happy to do that. Christian, I'm glad that you identified one of the tailwinds that the company is experiencing and just began really at the end of Q2 and in the beginning of Q3, which is the release of the moratoria across the state and federal levels in the U.S., which impact our default technology as well as some of our default title production. So with the initial release of the moratorium, we should see an initial bump in the default-related title work as well as some additional robust growth in the default technologies, they include foreclosure management and bankruptcy technologies deployed at some of the largest banks and servicers in the U.S. So expect to see that to accelerate somewhat at the beginning of Q3 a level off and then ultimately, all of those plans begin to expire at the end of the year for good. So a Q1 2022 strong increase in both the default technology just from the number of units running across the technology platforms that are deployed as well as additional default title will occur again, starting in Q3, but really gained steam in Q1 of 2022 looking at trends across the business units. The nice thing about the market we're in today, which is switching from the streamlined refinance, which is all about rate-and-term refi’s to refinances that involved cash out and equity in the U.S. and Canadian housing markets continues to increase. And those cash out refinances are less affected by cyclicality or seasonality. People still want their money, no matter what time of the year it is, they're going to still provide the application information necessary to do that. The other good aspect of it that may not be evident, especially if you're new to the PropTech or the real estate space is that those refinances that are cash out-related require more robust valuation. So either a full appraisal or a hybrid technology, both of those lend themselves exactly to the key functionality within Anow. So having the end-to-end encrypted route optimized AI-enabled elegant delivery mechanism to the consumer which is what Anow represents for its lending partners, having that in place should continue to increase the gross margin as well as the topline revenue as Anow expands and proliferates in Q3 and Q4. And so we're already seeing that there are more implementations than times in the day for the Anow product and that's how widely received it is, and I should be able to give you some announcements on some key partnerships in the next – in the coming two to three weeks, so you can kind of get an idea of truly the scale and the rate of change that Anow is bringing to the company. So that's title and that's valuation. Let's turn our attention now to tax. With the acquisition that Gary mentioned of Benutech and the Xome Valuations piece, something might not be self evident again to our investing group. Basically the Benutech acquisition comes with a large data asset, a data asset that comprises all data points across tax and title and property information, the acquisition of the Xome business unit serving Mr. Cooper, one of the top four mortgage servicers in the country and if anyone listen to Jay Bray, his earnings call, they would have listen to him speak about their tremendous growth opportunity moving to a $1 trillion portfolio. That gets great things for our Xome acquisition, but it also comes with an amazing data asset. And that data asset is the full repository of data that underpins real estate transactions known as the MLS system in the United States. So the combination of the Xome data asset, the Benutech data asset with our tax platform that is deployed already in 2,300 plus or the 3,300 plus counties in the U.S., that's an approximation, but – and gaining steam like we mentioned in our earlier conversation, all of those pretend for continued growth in the tax business. It is acquired technology platform that just continues to grow under our leadership and we expect to see it accelerate its growth as we add additional on sales resources to focus on it, and we continue to combine the Apex and iLOOKABOUT platforms. Now that with this really unmatched data asset in the U.S. should give tremendous growth opportunities for us to continue to expand the tax business, not only to municipalities and governmental entities, but also to give consumers a unique look into their tax assessment and the value of their property. So we're super excited about that as well. If you said, hey, Jim, what's your key driver, you'd go right back to looking at our software-as-a-service, our Anow platform really accelerating growth with Q4 and Q1 and then you get a combination effect. You get the proliferation of Anow. You get the combination of increasing tax revenue and you get the title coming not only from the cash out refinance business, which we expect to be strong throughout 2022 and maintaining a low rate environment, but also with the default title production, so each of the cylinders beginning to be fueled up propelling us forward through 2022.
Gary Yeoman: If I may augment what Jim said, because he needs 100% precise in all of the points that he has made. But I think it's really, really important that this is not something that we're trying to push on anyone. If you take a look at the business today, especially in the valuation sector, it's broken. To pay $800 for an appraisal, to wait up to 18 days of some cases to get that delivered with low rate mortgages today is just strictly not tolerable, and if you [indiscernible], the system is broken. By bringing the Anow platform that Marty Haldane has introduced to the industry, he has proven that just trying to work within the system, he can increase the efficiency of getting timely appraisals done by up to 3x faster than what is being done today. When you start incorporating tech-enabled piece of data into that platform, then it's a game changer for everyone. And if you ask any lender, what I said in my remarks, they want it timely, obviously 18 days no longer works. They want it more affordable. You can't continue to pay $800 in appraisal with the interest rates that are today and make this a buoyant marketplace and it needed to be more accurate. And we deliver all of that with the data as Jim – platform that we've aggravated that Jim has talked about and the software-as-a-service facilitation by having everything fully digitized. I mean, no longer the Anow is acceptable in our view to be delivered PDF documents through XML, I mean, we need it to be profession, use XML, to be able to use all of these datasets. We're changing the industry, but this is not something we're forcing. It's something that the economy has dictated that has to be done.
Christian Sgro: That's helpful. Gary, you spoke on this in the prepared remarks, but wanted to ask about Benutech and Xome Valuations, the two more recently announced acquisition. First, I was wondering, and I know the situation is fluid, but any update on the timing to the close of either? I know those conversations are in the works. And then it might be soon to start plugging it into our financial models, but maybe there's any color you guys give on what you think the financial sort of profile could look like? Or maybe more broadly to speak to the opportunity with both in the complimentary assets?
Gary Yeoman: Yes. I'll just speak on the timeliness first and then the rationale. Obviously, it’s our hope that we close on both the sooner the better, but we're targeting right now October 1 for both we think that's feasible. And so that's what we're all working diligently towards. With respect to Xome on the feasibility of this, I mean, we're so excited about this to have this opportunity to be able to work with the top four lenders. More importantly, what people may not understand is they're now our partners. They've taken back a good portion of the acquisition and shares. They fully realized that the opportunity for them to expand and to grow without conflict is very difficult housing inside the operations of Mr. Cooper. So being able to work with us as a partner to expand and grow the client base and the services and the opportunities then putting into the investment into this technology follows very closely in hand with the thesis that Mr. Cooper has further reiterated on their earnings call. So we're really excited the fact that we can take number one, the existing valuation of Voxtur platform is there and integrating it in with Xome to get economies of scale and efficiencies there, to be able to incorporate the Anow digitized platform into this existing customer base is extremely critical and important for us both from a valuation and profitability standpoint. And then thirdly, to have access to that data, that integrated with the other data that we will be having access to our Benutech acquisition, and also the data that we have on hand that we've acquired from our clients and other data service providers kind of set us apart from most of the competition that we have today. With respect to the operations, how that affects, I'll turn that over to Jim.
Jim Albertelli: Thank you, Gary. Yes. As far as the operations are concerned, when you're looking at the Benutech or the Xome acquisition, Benutech is scheduled, like Gary said, we're planning on an October 1, closing there and Xome is eminent any day now, just waiting for the final word from the TSXV, so great shape on both of these business units. If you're new to acquisitions or M&A may not be readily apparent to you, but obviously these transactions take some time to get completed. And in that time, of course, you're planning for the assimilation of staff, of technology and doing a deep dive through your due diligence process. And that occurs over many months. So we expected quickly on the Xome side. We've already coalesced with the management team, identified key employees, built the transition plan, structured it, reviewed it, confirmed the benefits of all of the blocking and tackling that you'd expect us to do through the due diligence process has been completed both legally and procedurally. Inside Voxtur, we created at the beginning of the year, change management organization, and a process management organization. You refer to our PMO group. They've already identified key synergies between our current tech-enabled services and the Xome Services. We've already completed a project roadmap for the integration of the Anow platform, and so all of that foundational work has already been completed. I expected very short order. And by short order, I mean, within 60 days post-close the Xome acquisition for really these synergies to be rung out of it, the additional work that is on the shelf to be processing through a singular platform and us to be well underway for our digitized Anow platform to help enhance and increase the underlying tech-enabled service margin as well as build the relationship at the topline with the Mr. Cooper organization that we're very fortunate to have built. So that's on the Xome side. The Benutech side is in many ways even easier. The Benutech team is under experienced leadership. They've done a tremendous job building their platform assets and delivering those platforms to enhance the business at title companies and a lead generation that mortgage companies can glean. So that platform will dovetail nicely into our data mesh environment. Additionally, with the data asset that comprises one of Benutech's key assets and the acquisition is able to be pushed through an API, so very standard technology that we can quickly put our front-end GUI on and then deliver a customizable way to our consuming constituents. So both of those should happen fairly rapidly by really before the end of Q4 for both acquisitions, but next 60 days or so for Xome, and that's what the team is focused on and that's what the expectation of management is.
Christian Sgro: That's great, Jim. I'm going to ask just one more question today. And it was encouraging to hear all the work you guys are doing in the background on the technical side of things and product enhancements. I was just wondering when you think about the business, whether that's your own direction, Jim, or feedback from your team or clients. What guides the product roadmap? How do you allocate resources? And would you say Anow is maybe the focus currently on product development? Or are there other areas you're building out the platform, building the technology to get ahead for the back half of this year and next year?
Jim Albertelli: Yes. Well, as you can imagine, and Gary outlined that the client need – the client needs to drive innovation and drive expectations, which ultimately lead to allocations. And so the key need, the essential – one of the essential components of loan production is the valuation of the asset. There's the valuation of the human and there's valuation of the asset, and the two of those come together and they fulfill GSE promulgated standards, and then you loan money on those standards. So essentially the lack of sufficient human supply and appropriate management of the land valuation through the appraisal network has led to greater demand and proliferation of that platform. Our ability then to white label it, to end-to-end encrypted, put in the secure environment and elegantly deliver to a consumer an additional touchpoint for our lender is a big deal. So now they have through the Anow platform the ability to reduce the turn time for their appraisal, to put it in a secure digitized environment, to deliver that to a consumer on a white label experience, that's the need, and that's kind of the cynical anon of a loan, right, is that key valuation point, meaning that on every transaction, whether it is successful or not, and every engagement with a consumer, our digital highway of property value is in play. And what that allows us to do with the master services agreement is then append additional services that we may not be the exclusive provider for. So coming in with the exclusive providing of our digital platform and then being able to, what we say, land and expand, one of the key drivers of organic growth is to add the title and the tax data to it. So Anow is getting its fair share of, I'll say, additional investment. Other platforms are receiving and continuing to be deployed as well and receive additional investment because we also see ourselves being the leader in the municipal tax space, and we see some unique offerings in our title world as well.
Christian Sgro: That's great, Jim. Thanks for taking my questions this morning.
Jim Albertelli: Thank you.
Operator: Thank you. Your next question comes from the line of Gavin Fairweather with Cormark.
Gavin Fairweather: Hey, guys. Good morning.
Jim Albertelli: Good morning.
Gavin Fairweather: Nice to hear that the Anow pipeline is building nicely here. I guess, I'm just kind of curious what kind of deal size is you're starting to see in the pipe relative to what Anow would have been seeing, I guess, prior to your acquisition?
Jim Albertelli: Well, and I'll take the first stab at that. Prior to our acquisition, the Anow was growing its units pretty well in Canada, but where it lacked was key infrastructure. If you look at Gary's history and my history, you'll see that Gary has built billion dollar companies that have deployed resources to large financial institutions. I come from the regulatory world, not only in creating my own originator and servicer that I ultimately sold, but building a multi-state Fannie, Freddie, Ginnie, no objection, law practice that serves financial institutions. What that means is that we're acutely aware of the need for compliance and auditability. And so what we brought were two things in the U.S. market that Anow just didn't have. It didn't have my 25-plus years experience serving the largest financial institutions as a known quantity with the head of mortgage servicing of your major banks, the Wells Fargo, the Bank of America, the JPMorgan Chase of the world. So having the ability to serve that level of clientele and be able to withstand the audits and still deliver services at scale is a key driver that gives servicing and mortgage executives’ confidence. So we were able to inject that confidence and we’re also able to support it with the infrastructure. So when you're thinking about the deal size, it's a whole new ball game. If you're a baseball player, it's like going from A to the Major Leagues and the deal size will grow exponentially on the Anow platform. So really the genius piece of the platform, the part of the genius piece is the way that Marty architected the technology in such a way that it has immense scalability. So we don't have to add tremendous dollars in the retention of the data and the imaging and the extraction. The architecture has been well thought out and well-placed, and that's what we found in our due diligence. So really taking that entrepreneurial spirit, bolting on knowledge and relationships with the largest banks and servicers, which lead to master services agreement, which lead to SOW, statements of work that you can append gives you the ability to take in many more units. And Gary and I are looking at some of the deals in right in front of us and looking ahead to our market share in the valuation space, and we think we're going to be a large part of all valuations by the end of 2022. So excited about the growth, the opportunity and really the combination of the technology within our enterprise structure with the discipline and the auditability allows for the proliferation and the tackling of really large bank and non-bank clients.
Gary Yeoman: Gavin, if I can add to, I mean, there's a number of things that are happening here that maybe not quite is evident. Number one, there's not enough hours in the day with respect to the demonstrations that we are lining up all day, every day, what the number of clients are wanting the demonstrations and the number of clients that are wanting to do onboard this new technology. And it's a game changer. And yes, as I said in my statement, the veracity of the success of this new platform will be seen in the coming weeks and months ahead with significant new clients that we'll onboard. But most importantly, we're also providing this platform to our appraisal companies so that they can not only use it for updating technology and getting away from the PDFs and using like adjacent file applications. But also in our review model, I mean, right now, we've totally eliminated the whole manual component and we can do a whole review of the valuations in less than a minute and portfolios in less than a minute. And so it changes everything. And so this is not only offered to the appraisers, but we're offering it to the AMCs as well because not every AMC has the capabilities to be able to take on a project of this size. I think that some of the larger clients have looked at this and basically know that it's going to cost them millions of dollars and years to get to the point where Anow is right now as far as the potential offering. So we're not basically setting aside our clients, we're talking about embracing them, allowing AMCs to use this technology, allowing obviously the lenders to use it and also individual appraisal groups that have no ability whatsoever to take on that type of commitment as far as the service offering. So we do separate ourselves, but at the same time we're embracing and acknowledging the infrastructure that's out there we'll continue to grow.
Gavin Fairweather: That's very helpful. Just secondly for me, I was looking for an update on your alternative title insurance product. I know that you've been working kind of behind the themes in terms of discussions with the insurers for the blanket insurance with lenders and also the GSEs. Maybe you can just provide us with an update on how those discussions are moving forward?
Jim Albertelli: Sure. Without naming any names in the process we're continuing to move down the pathway. We have identified clients that are – would be willing participants in a pilot. This includes a top 10 bank as well as two top 20 non-bank mortgage originators. So part of the process is just simply education which we're doing and letting them see that we have scale with our data-ingestion engine what we can deploy, also great support from a number of different and best A-rated insurance providers, which would give us tremendous scale as we roll this out. So we’re laying really the groundwork to be in production at scale named a senior former mortgage executive to head up that charge and he has spearheaded a number of initiatives for me over the past 10 years. He's built scale at multiple large organizations over the past 25 or so years. So we’ve really have been focused in on continuing the educational process. I think – I'm hoping that I will have an announcement in the near future within the next quarter meaning really before the end of the year that we can get this into a production pilot in some key jurisdictions. And I think it's going to be very meaningful for us as a company. So I just can't get into any additional details on that now.
Gavin Fairweather: Yes. That's fair and good to hear that that’s moving ahead nicely. I guess just next for me on the Xome acquisition. If I kind of dig into Mr. Cooper's financials, the Xome Services division had about $70 million of revenue in H1. I think that there was other kind of components to that business. Can you help us at all think about the relative cause of the valuation asset within that division?
Jim Albertelli: Sure. Over the past, I'll say 12 months, you're looking at approximately $60 million of topline. So you're going to see this – in 2022, we expect the Xome acquisition for us to be worth approximately $84 million topline in 2022 and that's U.S. So it could be as much as nearly C$100 million right depending on the exchange rate. So that's where we expect Xome to be – the Xome Valuations component to be. And of course, I think Gary mentioned this already, but really two other strategic components that come with that deal is the complete data asset of all the MLS data, which you're going to see us populate within – across our platforms and see the data show up in tax analysis, you'll see the data show up in valuation, it’s going to be extremely helpful to allow our appraisers and data scientists to be that much more efficient. So you'll see that. But hopefully that gives you an idea of what the scale is of the Xome acquisition what do we believe it's going to mean to us in 2022.
Gavin Fairweather: Yes. That's super helpful. Go ahead Gary.
Gary Yeoman: Gavin, I was just going to add that – I was just going to add again back to our thesis or having an opportunity to ingest the technology. We're acquiring more master service agreements in place. So that – as you know part of the game is having the best product in the marketplace. The other is to go through the rigorous process of getting accepted by the large lenders. And so one of our strategies is making sure that we had a large portfolio of master service agreements in place so that we don't have to wait months and years to be able to kind of go through all the various testing that take place. Once that is done, adding our technology and also taking advantage of the synergistic opportunities with our other business unit offerings, it's kind of what we do in every deal. One thing is to be accretive. The second thing is to adjust in the technology, but as also, the synergies that go with it, every one of these lending entities would allow the predictive analytics tool for property tax, which they have a great exposure to. So it centers the whole philosophy, which I've certainly talked with you about in the past, but having a centered synergistic accretive opportunities that are very appealing as part of our strategic process.
Gavin Fairweather: That’s helpful. And just maybe a follow-up on Xome, and it was great to – that was some great color on kind of the scale of the operation. In terms of the transaction volume that's running through there, how should we think about the different buckets of transactions? Obviously, Mr. Cooper, I think is pretty big and refinanced. So would that be kind of the biggest bucket of volume there?
Jim Albertelli: Yes. This is Jim Albertelli. Again, today, the largest bucket of transactions is in the refinance arena. But you should expect and – when I went from the, let's call it, approximately $60 million of topline for 2021 for that business unit and moving it to $84 million, that large factor in that growth is the release of the moratorium. So seeing broker's price opinions and seeing hybrids, other valuation products that are used to mark book-to-market, you'll see that increased substantially in 2022, drive a lot of that additional growth. By the way, it also has a higher margin. So all of those components will come together for 2022.
Gavin Fairweather: Got it. And then just lastly for me, the gross margins in Q2 just below Q1, I didn't see a big change in the mix. And so curious if there is any commentary there. And maybe you can help us out as we're thinking about gross margins into the back half of 2022 as the moratorium lifted with the new acquisitions that you've announced and as your software offerings continue to grow.
Jim Albertelli: Yes. Sure. So a lot of times the gross margin may dip upon the assimilation of acquisition and some of the additional costs that go into the valuation and proliferation of the acquisition. So you may have a little margin constraint initially not a long-term, but certainly maybe for 60, 90 days a quarter, perhaps. But as we've talked about the margins for the Anow product are north of 70%, so as Anow proliferates and Gary mentioned, as it expands throughout the marketplace, as we sign some of the top lending institutions and build relationships with some of the most prolific point-of-sale, other technology partners, you're going to see that that margin of north of 70% become a greater for bonding and part of our future revenue. You're also going to see with additional scale, even tech-enabled services margins go up so bringing all the Xome units and combining it with what was known as Clarocity and became Voxtur valuation. So the tech-enabled service, you could see that increase. And then similar margins are found in the bankruptcy technology space. So each of those default technology, the Anow platform, and it's continued expansion and some additional scale, and the tech-enabled services will provide really that margin growth as we move through 2021 – Q4 of 2021 and into 2022, and that's where we'll really see some significant growth in that margin.
Gavin Fairweather: Great. That's it for me. Thanks so much.
Jim Albertelli: Thank you.
Operator: Your next question comes from the line of [Colin Fisher with Garrison Creek].
Unidentified Analyst: Good morning. Can you guys hear me?
Jim Albertelli: Yes. We hear you fine.
Unidentified Analyst: So first congratulations on the quarter, it looks like its pretty good or excellent, I guess. With regards to the Xome acquisition, how long will it take? Should we be looking at this as basically, it's going to be running on the Anow rails. And if so, how long will it take to sort of port the business that's currently running in Xome over to the Anow platform? And then should we also assume that you're going to be, I mean, I looked at your numbers, it looks like its 81% in the notes in terms of gross margin, so what should we be looking at the Xome business basically having expansion in gross margins?
Jim Albertelli: Yes. So the implementation of the Anow platform into the Xome business unit, I would give you a very lawyerly response, it depends. And so you're probably going to say, well, what are these dependencies, you speak [indiscernible]. Well the dependency is a couple of things. One we are going to – we've got some additional announcements to make. So we have some tremendous implementation scheduled ahead of us. Several of those clients have even more volume than Mr. Cooper. So I'm chuckling because this is a great problem for us to have, right. The problem for us to have is, hey, how many additional engineers and architects can you hire to accelerate the growth of your platform within the client suite. So I expect that we are prioritizing as you would imagine the largest volume first, and then there is probably I'll say at least a four or 5x over the current Mr. Cooper volume ahead of it. And then there's some key strategic players that were closely aligned with that could be very meaningful in net implementation. So what does it look like, back to it? Q2 of 2022 is a good time to say, hey that the technology would be transitioned to Anow platform to extract additional scale – times of scale and efficiencies with our technology. And so I think that's what you should target that could happened sooner, it could. And that’s just going to depend on some of these other integrations that are lined up ahead of it again. Again a great problem to have, I'm not complaining. It's been tremendously well received. And again, I hope I can give you some more particular color and then you can use those numbers to back end. But then you'll understand why I said it looks like Q1 of 2022 implementation in this environment.
Gary Yeoman: Colin, the other thing is that, Mr. Cooper is not unlike most lenders. As I said before, 18 days and $800 is not a solution for anyone. The quicker the transition in order to be able to deliver timely affordable valuations to them, augment the platform that they are increasing in is in the lending side of the business. So I think there'll be a welcome introduction for all of us and not just so.
Unidentified Analyst: Right. Gary, just I'm trying to – I don't – I'm not necessarily trying to nail you down to a transition period, but just more to how to look at the Xome acquisition. We should be looking at it through the Anow gross margin and profitability lens on a go-forward basis once everything is [indiscernible] what I'm looking for.
Gary Yeoman: Absolutely.
Unidentified Analyst: Okay. So the second thing is with regards to the Apex acquisition. So I want to just sort of get some color as to the benefits of once these companies hit your platform. So if I can get some color on how the Apex has grown. And I know there's only a short quarter of Anow in there, but can you give some color as to how the revenues have accelerated through the quarter, maybe even month-over-month?
Gary Yeoman: Jim, is it okay if I maybe hop in and – like, yes, obviously, I've been…
Jim Albertelli: Absolutely.
Gary Yeoman: …the assessment and tax business – I wish I was a lot younger and had been 40 years ahead of me. But this business is extremely exciting for us because we're offering and our offering right now as we speak the first mobile assessment application in North America. For the assessor to get out in the field with an iPad and be able to draw his sketch with his finger and have the calculations of the square footage in front of him immediately, but then being able to put input in and interface with the SaaS-based – or sorry with the valuation – assessment-based valuation platform that that particular county is using to be able to have that valuation in front of them and writing it on a piece of paper with graph paper going back to the office, transporting it, finding out half the time when they go back that they've left things out and have to go back again. We've increased the abilities for all counties in the U.S. to increase our product can be as much as 5x. And so essentially, where Apex has a very gracious appetite for the sketching and it's being adapted by many large, not just lenders, but counties as well, but we're integrating it in with the other platforms that we're offering, which is desktop management platform, imagery and our GVP, which is GeoViewport software-as-a-service application. So essentially what we're doing is we're going down there and while they do have individual businesses, we're integrating this total offering and it's being accepted with extreme amount of enthusiasm. And we realized that in new counties that we have signed up since its acquisition. And so we're – again, sometimes when you integrate, sometimes when you acquire, you know that the base business is going to continue, but the synergistic benefits do take sometimes six to nine months to basically integrate and started realizing these benefits. And we're starting to realize that now. I'm not prepared to say exactly how much is Apex, but I do know that it's an extremely accretive opportunity for us both in profit and revenue and we're very excited about this offering.
Unidentified Analyst: Thank you for that. One last question is, with regards to how you're breaking down your revenue from your SaaS-based businesses and your solutions and the gross margins, I think there needs to be an education of the investing community. I mean, I saw one of the reports that was out there where you're getting compared to $68 billion market cap company whose topline revenues has been dropping over the last three years, but they happened to sort of notionally be relevant to technology. And I'm wondering what you guys are going to do to sort of make sure that the linguistics of your projections with the analyst community in Canada get – that you get a better mix of comps closer to a SaaS-based and cloud delivered technology group rather than archaic dying companies in the tech space or in that real estate base, I should say.
Jim Albertelli: Colin, it's a challenge in getting that education out there because most people on the TSXV are from Missouri and [indiscernible] and as opposed to, if you take a look at companies that we think are very comparable to us as far as technology offerings in that, I mean, you're seeing multiples that exists there as much as 35 to 40x revenue. And we absolutely know that we are in that category as far as the type of work that they're doing and the type of growth that is going forward. But also I'll say this concurrently, that is not for us to value our business as for our investors out there. And I think that we have two things to do. Number one, as you said, continue to educate and demonstrate how technology is taking over our industry that we're in and how much it's affecting the opportunities for all of the businesses of our clients to be able to grow and be more affordable. And so that obviously has to take place. I also think that we also need to do a better job with respect to looking at the investor community and certainly getting more institutions involved and institutions that understand technology, understand the nuances of technology and how you grow your business and the timing that it takes. And we need investors to be able to buy into that and [indiscernible] the time and the patience to allow that business to go. I mean, I think it was like 30 years before Rogers ever made a profit. But they're one of the larger companies in the world today. And so we know that we're growing, we know they're going to be profitable, we know that we are clearly transitioning to a software-as-a-service business. We have given you all the evidence before us. And part of this attracting the larger institutionals is for us to be able to transition from a venture exchange and whether we move to the TSX or a U.S.-based and such as NASDAQ or New York Stock Exchange, I think inevitably that has to take place because some of the larger institutions can't invest unless it’s a $5 stock. So obviously, we take the credit there based on where we are and what we're doing, but it's a whole investment community as a combination of obviously executing on what we have and educating at the same time and getting the world to understand that we're not a services company. We're not boots on the ground company. We have 300 people. If you take a look at Altus, which I founded, I mean, when I left, we had over 4,000 people. We're not a typical appraisal management company. We're transitioning to a technology platform that's going to drive that. And so we're mitigating and we'll continue to mitigate the number of people that we have and transition to software-as-a-service where technology is going to be the driver of the bus. So its time and its execution and their strategy with respect to who the investor group is and how we take the community that we have right now that we're grateful for and respect very much, but integrate that with more institutions that understand the long-term vision of who we are.
Unidentified Analyst: Perfect. Listen, now I'm going to throw my hat in the ring and say, I'd love it, if you go to the TSXV before – TSX before you start making big moves to the U.S., but just because I think it's easier and quicker. But listen, congratulations on everything. Well done all of you. And I'm going to pass along.
Jim Albertelli: Thank you.
Operator: At this time, we have reached the allotted time for questions. I would like to turn it back over to management for closing remarks.
Gary Yeoman: Jim?
Jim Albertelli: Yes. Hold on, just had a technical glitch over here, so you're back on. Thank you, Gary. I’d just like to thank all of our investors and analysts for their time and attention today. Really digging into what our growth strategy that you've heard from Gary, what are our key business drivers that you heard from me and our financial results from Angela. So again, we appreciate you as investors and analysts watching the stock, investing in us and in the future, we're vested in this company long-term and we believe that it's going to continue to grow extremely well throughout the end of the year and into 2022. So thank you so much for your time and we look forward to talking to you again in the future.
Operator: Thank you. This concludes today's conference call. You may now disconnect. Speakers, please hold the line.